Operator: Welcome to the Priceline Group’s Second Quarter 2012 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause Priceline’s actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of Priceline’s earnings press release as well as Priceline’s most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligations to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of Priceline’s earnings press release, together with an accompanying financial and statistical supplement is available in the Investor Relations section of Priceline’s website located at www.priceline.com. And now I’d like to introduce the Priceline Group’s speakers for this afternoon: Jeffery Boyd and Daniel Finnegan. Go ahead, gentlemen.
Jeffery Boyd: Thank you very much. Welcome to Priceline’s Second Quarter Conference Call. I’m here with Priceline’s CFO, Dan Finnegan. I will make some opening remarks, and Dan will give a detailed financial review. After the prepared portion, we will take questions. Priceline reported consolidated gross bookings for the second quarter of approximately $7.3 billion, up 27% year-over-year or about 36% on a local currency basis. Non-GAAP net income was $405 million or $7.85 per share, up 43% versus prior year. Second quarter results surpassed FactSet consensus estimates of $7.37 per share and our guidance for the quarter. Worldwide hotel room night reservations were 50.2 million for the quarter, up 39% year-over-year. Our international business recorded 44% gross bookings growth on a local currency basis, down from 58% in Q1. Growth rates were negatively impacted by declines in ADRs, further slowing of growth in Europe, particularly in the U.K. and Southern Europe where economic conditions seem weaker and a difficult comp with 79% local currency international bookings growth last year. Growth rates benefited from continued high growth rates in APAC and the Americas. International gross bookings also benefited generally from growth in hotel supply and strong results at Rentalcars.com. Booking.com’s platform now has over 235,000 hotels and other accommodations, up 52% over last year. With a relevantly larger concentration of its business in European countries experiencing weak economic conditions, decelerating growth in those markets has impacted overall growth rates. Nevertheless the absolute transaction in local currency growth rates in Europe and non-Euro markets for Q2 were in our view impressive and attested the vitality and potential of the business. That said, deteriorating overall economic trends and headline risks surrounding the Euro crisis do cause us to be guarded in our near-term outlook. We also announced today the Booking.com signed an agreement with Ctrip.com, China’s leading travel service enterprise under which Ctrip is adding Booking.com’s global portfolio of participating hotels to Ctrip’s hotel reservation service. We are excited about the opportunity to work with Ctrip and make Booking.com’s global collection of hotels available to Ctrip customers. We believe that this will give Booking.com a new way to serve travelers from the Asia Pacific region. Agoda continues to expand its network of hotels and is building distribution as the business scales. They have a significant opportunity in the fast-growing Asia Pacific market that can also help APAC customers with their travel to other parts of the world, over proprietary merchant inventory and access to the worldwide inventory of Booking.com. Priceline’s domestic gross bookings grew 5% in the second quarter due primarily to growth in retail hotel room night gross bookings aided by higher ADRs, and growth in domestic retail rental car reservations. Name Your Own Price services experienced challenges relating to supply for air and rental car. In hotels, Name Your Own Price faced increased competition in the discount space and a more challenging user experience from mobile devices often used for last minute bookings. We recently launched Express Deals, a published-price opaque service that offers great savings to provide greater consumer choice and we will work towards optimal promotion of that option. Merchant gross bookings growth of 23% continues to reflect growth at Agoda and Rentalcars.com. Rentalcars.com was also the primary drive of the Group’s 29% growth in rental car days. We believe the Group’s businesses performed well in the second quarter given poor economic conditions, particularly in our core European markets. We are pleased with the progress of our brands in growing and improving their platforms. Our aim is to continue building our brands by investing in geographic expansion and supply, product and service innovation and customer acquisition. I commend my colleagues around the world for their focus and execution. I will now turn the call over to Dan for the detailed financial review.
Daniel Finnegan: Thanks, Jeff. I’ll discuss some of the highlights on operating results and cash flows for the quarter and then provide guidance for the third quarter of 2012. Growth rates mentioned in my remarks are in relation to the prior-year comparable period, unless otherwise indicated. Q2 gross bookings grew by 27% or 36% on a local currency basis led by our worldwide hotel reservation business. Hotel room nights booked grew by 39% in the second quarter, a deceleration compared to the 47% growth rate achieved in Q1. As I said when we gave guidance for Q2 back in May, we expected fairly significant deceleration in unit growth over the back half of the quarter, given the size of the business and a difficult year-over-year comp. We believe that weak economic conditions and sovereign debt concerns further contributed to the level of deceleration experience, particularly in our key European markets which represents about 60% of our total booked room nights. We saw a softer demand and ADR trends continue in Southern Europe and spread to certain other markets including the U.K. in the second quarter. Despite these challenges, our room nights booked grew in Q2 by over 30% in Europe and by over 50% for the rest of the world. We are proud of the results delivered for the quarter from a top line and bottom line perspective and believe that Q2 was another in a long stream of quarters where we grew our market share with booked room nights both in the U.S. and internationally. We believe that the strong growth rates in markets outside of Europe demonstrates the attractive long-term opportunity that these markets continued to shift the booking online and comprised an increasing share of our business. Average daily rates or ADRs, were down on a local currency basis by approximately 1% for our international hotel service and were up by over 4% for our U.S. hotel service for Q2 2012. These results were slightly below our guidance assumption. FX rates for the second quarter for the euro and British pound versus the U.S. dollar were unfavorable compared to the prior year by about 11% and 3% respectively and in both cases were about 3% unfavorable to the rates we assumed in our guidance. As a result, currency exchange rates significantly depressed our year-over-year growth rates expressed in the U.S. dollars for gross bookings, revenue and gross profit and also negatively impacted our actual growth rates for these line items compared to our guidance for the quarter. Our Q2 international gross bookings grew by 33%, and by 44% on a local currency basis, in both cases within our guidance range. Rental car days booked were up by 29% driven mainly by strong growth for our Rentalcars.com business. Gross bookings growth for our Priceline.com brand business in the U.S. of 5%, we get the bottom end of our range of guidance. Strong growth in retail hotel room nights booked and higher ADRs as well as strong growth in retail rental car bookings were key drivers in year-over-year growth. However each of our Name Your Own Price businesses had a challenging quarter posting decreases in year-over-year unit costs. We believe our Name Your Own Price hotel room nights declined likely as a result of continued presence of competitive discount hotel initiatives and the emphasis on no bidding offerings in our offline advertising. We launched Express Deals during the quarter which allowed customers to enjoy substantial savings with the posted price. We believe that Express Deals will appeal to customers who want to save money but are not comfortable with the bidding process. We’re still in the early stages and we intend to continue to experiment with various ways to operate Express Deals to customers on Priceline.com in coming quarters. Airline tickets booked were down by 2%, while average retail ticket prices were up by 7%. Name Your Own Price tickets declined to a greater extent to the limited supply resulting from airline capacity cuts. Name Your Own Price rental car days booked were down significantly due to limited availability of discount and supply and low retail prices that lessened the relative value proposition of our Name Your Own Price offering. The decrease in our Name Your Own Price businesses has a more pronounced impact on revenue, and merchant revenue in particular, since these transactions are recorded gross in revenue, with supplier cost reported in cost of revenue while our other merchant businesses principally Agota.com and Rentalcars.com are recorded in revenue net of supplier cost. Gross profit for the quarter was $1 billion and grew 34%, as compared to prior year. Our international operations generated gross profit of $859 million, which constituted an increase of 40% as compared to the prior year and an increase of 53% on a local currency basis. Gross profit for our U.S. business amounted to $145 million, which represented 6% growth versus prior year. Operating leverage improved in the quarter. Non-GAAP operating income as a percentage of gross profit amounted to 48.2% for Q2 2012, expanding by 200 basis points compared to the prior year as expenses grew at a slower pace than gross profit. Advertising efficiency was favorable to our forecast as the prior year partly due to deceleration in gross bookings which resulted in slower growth in advertising. Fundamental advertising efficiency was good, partly offset by the continued mix shift to paid channels. Gross profit decelerated to a lesser degree because strong Q1 gross bookings growth benefits Q2 as gross profit is recognized upon completion of travel. Adjusted EBITDA for Q2 amounted to $495 million, which exceeded our guidance range of $450 million to $470 million and represents 42% growth versus prior year. Non-GAAP net income grew by 43%, including a lower year-over-year cash tax rate due to the Innovation Box Tax benefit in the Netherlands and a lower statutory rate in the U.K. In terms of cash flow, we generated approximately $432 million of cash from operations during the second quarter of 2012, which represents a 93% increase versus prior year. Operating cash flow for the quarter benefits from our decision to prepay in the first quarter $166 million of income taxes for Booking.com in return for an early payment cash discount. These taxes would otherwise have been paid monthly over the year and so second quarter and subsequent quarters of 2012 have a lower payment burden as a result. We spent about $15 million on CapEx in the quarter and spent about $61 million to purchase a portion of the non-controlling interest related to Rentalcars.com. As of June 30, 2012 our cash and investments totaling $3.9 billion are available for general corporate purposes including share repurchases, acquisitions and debt repayments. Now for third quarter 2012 guidance. Let me start off with some qualitative comments regarding our approach to the Q3 guidance. Our guidance reflects our expectation for sequentially naturally decelerating growth rates for a very large business comparing against high transaction growth rates in each quarter of 2011. It also reflects the significant drag of growth expressed in U.S. dollars for all lines of our income statements presented by the strengthening of the U.S. dollar compared to last year particularly as it relates to the Euro. Lastly, our forecast reflects our assumptions regarding impact of worldwide macroeconomic conditions in general and in Europe in particular. With several quarters now, we’ve noted weaker transaction growth rates in ADR trends for certain southern European countries and we see evidence of these trends spreading to other markets including the U.K. Our forecasts assumes that macroeconomic conditions will deteriorate further as we progress throughout this quarter and that our unit growth rates will decelerate fairly significantly compared to their current levels as a result. We’ve seen a few quarters now of softening local currency ADR trends for our international hotel business with ADRs up 2% in Q1 and down 1% in Q2. Our Q3 forecast assumes ADRs for our international hotel service will be down to a greater degree than in the second quarter. And net ADRs for our U.S. hotel service will be up by about 4%. Softer international ADRs and higher cancel rates assumed in our guidance negatively impact unit economics and operating leverage. We are forecasting total gross bookings to grow by 10% to 18%, tend to grow on a local currency basis by approximately 19% to 27% with U.S. gross bookings growing by about 5%. We expect international gross bookings expressed in U.S. dollars to grow by 12% to 20% and to grow on a local currency basis by approximately 23% to 31%. Our Q3 forecasts assumes that foreign exchange rates remain at the same $1.24 per euro and $1.56 per British pound as yesterday’s closing rates which will result in average exchange rates that would be weaker by 13% for the euro and by 3% for the British pound as compared to the prior year. We have hedged contracts in place to substantially shield our third quarter EBITDA and net earnings from any fluctuation in the euro or pound versus the dollar between now and the end of the quarter, but these hedges do not offset the impact of translation on our gross bookings, revenue, gross profit and operating income and do not hedge our earnings beyond the third quarter. We expect Q3 revenues to grow year-over-year by approximately 9% to 15% and gross profit dollars to grow by approximately 15% to 25%. We expect de-leverage and non-GAAP operating income as a percent of gross profit. We assume that margins in Q3 will be impacted by de-leverage in online advertising expense due to business mix and assumed deterioration in unit economics associated with worsening macro conditions. Despite economic challenges we also intend to continue to invest in people, new offices, IT expenses and increased depreciation expense to support the growth of our business. In addition, our forecast for personnel expense in Q3 includes a $13 million charge related to a reported one-time payroll tax that was imposed in the Netherlands in July. We do not expect the impact of this wage levy to be significant beyond Q3. Adjusted EBITDA is expected to range between $690 million and $765 million, which at the midpoint represents 13% growth versus prior year. We are targeting non-GAAP fully diluted EPS of approximately $11.10 to $12.10 per share, which at the midpoint represents 17% growth over prior year. Our EPS forecast reflects about $4 million of additional year-over-year cash interest expense for Q3 related to the convertible bonds we issued in March and the revolving credit facility we entered in September last year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 16.4%, comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. This rate reflects the estimated fully phased-in impact of the Innovation Box Tax benefit in the Netherlands. We expect our full-year 2012 cash income tax rate will be approximately 4 to 6 percentage points lower than what it would have been if we did not have the Innovation Box Tax benefit. Our non-GAAP EPS guidance assumes a fully diluted share count of 51.5 million shares based upon yesterday’s closing stock price of $665.12. We forecast GAAP EPS of $10.21 to $11.21 per share for Q3. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. Given the uncertainties surrounding worldwide economic conditions particularly in Europe where much of our business is concentrated the variability around our guidance is greater than as usually the case. We will now take your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Stephen Ju of Credit Suisse. Your line is open.
Stephen Ju – Credit Suisse: Good afternoon guys. So I think in the prepared remarks you mentioned, I guess macro headline driven weakness spreading through U.K. and certain other parts of Europe also, southern Europe. Do you think there is any Olympics related impact and there are people just staying home to watch the Olympics as opposed to traveling? And I am also trying to get some context around the guidance for currency neutral, gross bookings growth of 23% to 31%. I guess there is some pause that you’re seeing additional pretty steep volume deceleration of, I guess additional ballpark range of 13% to 21% if I’ll do my math correctly, coming off hotel room deceleration of about 8 percentage points. So I am just trying to figure out what you’re seeing in the channel that’s making to take off another I guess 5 to almost 13 percentage points of volume growth?
Jeffery Boyd: In terms of the Olympics, Stephen, we’ve said in previous quarters that we didn’t expect to see an impact in our numbers from the Olympics and I think that’s still true. These events that take place in one market across our broad diversified worldwide business don’t generally have impact that we can discern. To the extent that more people are traveling to London or not traveling to London, perhaps they are traveling somewhere else, so we don’t see anything there. In terms of the growth assumptions, we said that our forecast reflects the actual results we’ve seen to-date and we’re assuming fairly significant deceleration growth rates from here on – over concern about macroeconomic conditions and our worry that conditions will worsen particularly in Europe which is such a key market for us.
Operator: Thank you. (Operator Instructions) Due to the number of participants in queue we ask that you limit your time to one question. Our next question comes from Doug Anmuth of Deutsche Bank. Your line is open.
Doug Anmuth – JPMorgan: Thanks. Doug Anmuth from JPMorgan. So just wanted to ask you – you talked obviously a lot about the macro pressures here that you saw in 2Q and that you expect to worsen in 3Q. But can you give us a sense of whether you’re seeing – what you’re seeing in Europe in particular from competitive pressures and I guess should we be thinking about this as primarily macro impact and FX impact or you’re using some competitive dynamics here which are getting tougher for you?
Jeffery Boyd: Doug, I think that we look at the markets where our results have weakened most substantially and those are the same markets where the economic headlines and reports on unemployment, GDP and headlines around sovereign debt seem to be at there worsen. So that’s really what drives us to attribute a portion of the deceleration in this business to economic conditions. And we also see occupancy and ADR trends that are supportive of the deceleration at least in part being tied to macroeconomic conditions. Now we’ve been guiding investors for a long time to look for deceleration in the business given the size of the business and given the very, very strong comps that we have in the last year and so we think that that’s something that the market should continue to expect all things being equal from an economic perspective. As far as we can tell as we look at the reported results that our competitors released and our own results, we continued in the second quarter to gain share against our competition in the major markets in which operate. I think that the competition has had a better result from the last couple of quarters and I think that’s due to good execution on their part and I think is demonstrative of the opportunity – the substantial opportunity we have in these marketplaces that you can have a couple of businesses of our size growing at impressive rates.
Doug Anmuth – JPMorgan: Great, thanks Jeff.
Operator: Thank you. Our next question comes from Mark Mahaney of Citigroup. Your line is open.
Mark Mahaney – Citigroup: Thanks. Two questions please, I think Jeff you referred there market share gains for the hotel business in the U.S. Could you be a little bit more specific or do you mean just against the total market of hotel room nights. And then you also mentioned mobile as being a challenge, it sounded like a bit of a change in tone from before, could you may be spell that out a little bit more, how is mobile monetization for a travel company – how do you see the challenge in that? Thank you.
Jeffery Boyd: Sure Mark. So with respect to U.S, market share, even though we don’t release total group U.S. North American hotel room nights, we obviously have those numbers and can look at them in comparison to what’s released by the competition and based on that information we believe we’re continuing to gain share in total group hotel room nights sold in North America. With respect to the second question, I referred in my remarks to the potential difficulty for a last minute traveler using a bid process where you may have to go through a couple of iterations to get a completed transaction. And that’s something that I think we believe to be the case notwithstanding the fact that the growth of our Name Your Own Price business in places like the Hotel Negotiator App has been great and it’s been quite successful in an absolute sense. We feel there is an opportunity not just in our opaque products but across the Board to introduce new products in the mobile channel, try to make them very easy for consumers to complete a commercial transaction. And Express Deals is one way where they can get the kind of savings that they are used to with the bidding process without having to go through that, especially if you’re dealing with a small screen and potentially a last minute transaction.
Mark Mahaney – Citigroup: Thank you, Jeff.
Operator: Thank you. Our next question comes from Justin Post of Bank of America. Your line is open.
Justin Post – Bank of America: Thanks. Jeff, a couple of things, firstly when you look at your ADR and I think there were plus 2% and they went to negative 1%. It seems like when you look at some of the industry data for Europe, it hasn’t decelerated like that or some of the other hotels what they are saying [ph]. Is it because people are doing a different type of mix on your platform or you see something may be a little different than the industry is? And the second, I saw the Ctrip deal, can you talk about the economics, if someone books a room on their platform, is that favorable to you, or can you give us any help with that, and do you have anything for that in your guidance? Thank you.
Jeffery Boyd: Sure Justin. So with respect to our reported and sort of guided ADR trends, our international businesses have a different mix of destinations and types of properties that then – and other businesses they are all unique, so you can’t look at what we report and compare it to Smith Travel or another industry and say they want to be exact with the same what we see is impacted by mix and that’s driven by combination type and it’s driven by geography. With respect to Ctrip, the terms of that transaction are not disclosed but you should assume that the transaction will result in a financial benefit to both of us and Ctrip, if reservations are made by Ctrip customers at Booking.com hotels around the world. And we have a 8-K that’s filed at the same time as we announced these other transactions that will say we don’t expect the results of the Ctrip transaction to be material and you should consider that it’s included in the guidance that Dan gave you this afternoon.
Justin Post – Bank of America: Thank you.
Operator: Thank you. Our next question comes from Tom White of Macquarie. Your line is open.
Tom White – Macquarie: Thanks for taking my question. I just wanted to confirm one thing I thought you guys said in the prepared remarks about unit growth rates by regions. Did I hear 30% in Europe and over 50% in the rest of the world? And if so, I guess as we look out over the next couple of quarters, you guys have talked about how the seasonality in your newer markets of Asia Pacific and LATAM is different than kind of your legacy markets of Europe and the U.S. And then 4Q and 1Q are seasonally bigger travel quarters for those newer regions. With that in mind, can we expect to see maybe some acceleration in your international business later this year and early next as these become a bigger part of the mix? Thanks.
Jeffery Boyd: Tom, we don’t guide beyond the current third quarter guidance that we gave so I can’t really comment on that. Your premise that there is – first quarter and fourth quarter better seasonality for the Asia Pacific businesses and the businesses in the Southern hemisphere is a correct premise, but that business that we – when we talk about outside of Europe for the global business that includes the United States as well which is a very big part of that other market and that has the typical northern hemisphere seasonality.
Tom White – Macquarie: Okay, thanks. Could you just confirm that you said 30% hotel unit growth in Europe in the second quarter and over 50% for the rest of the world, did I hear that right?
Daniel Finnegan: That’s correct, Tom.
Tom White – Macquarie: Thanks.
Operator: Thank you. Our next question comes from Michael Olson of Piper Jaffray. Your question please.
Michael Olson – Piper Jaffray: Hi just a follow-up on that. So you mentioned Europe weakness, but for international bookings expectations outside of Europe, would you I guess just qualitatively would you characterize the macro headwinds in all the other international geographies as being kind of equally weak as Europe, not as weak as Europe or not really weak at all?
Jeffery Boyd: I think a fair way to answer that would be to say that we have seen decelerating growth trends in most of the markets in which we operate and again that’s consistent with the guidance that we’ve given that is the business gets larger, we expect generally to see growth trends decelerate. We pointed out these couple of markets in Europe because of the concentration of our business in those markets and because we believe the deterioration there has been more pronounced.
Michael Olson – Piper Jaffray: Okay, thanks.
Operator: Thank you. Our next question comes from Michael Millman of Millman Associates. Your line is open.
Michael Millman – Millman Research Associates: Thank you. You mentioned U.S. rental car. Could you talk a little bit about why do you think that prices have not risen despite fleets tightening and also is it the tertiary brands that are causing this reduction in price and affecting opaque market and do you know that tertiary companies taking share of the rental car business?
Daniel Finnegan: Michael, I will comment on share amongst the rental car suppliers but that is likely cause of some of these new entrants that are pricing at very aggressive levels and that’s putting pressure on retail prices overall in the market.
Michael Millman – Millman Research Associates: Thank you.
Daniel Finnegan: You’re welcome.
Operator: Thank you. Our next question comes from Heath Terry from Goldman Sachs. Your question please.
Heath Terry – Goldman Sachs: Great, thank you. You have for most of the last few quarters you have been talking about advertising de-leverage and this quarter, we actually saw at least within the online advertising segment a little bit of advertising leverage both on a year-over-year and quarter-over-quarter basis. To what extent was a decision made to trade-off bookings for EBITDA this quarter and to the extent that that’s a change in strategy from the willingness that you’ve had in previous quarters to accept that advertising de-leverage?
Jeffery Boyd: It’s no extent. It was a decision made to trade-off advertising dollars for EBITDA. That’s not the way we look at the business or I’ve ever looked at it. We try to drive as much business in all distribution channels subject to ROI requirements which have not changed in any way in terms of policy for quite a long time. We’re prepared to spend additional dollars to drive additional businesses as long as ROIs are acceptable and we’re also prepared to spend at a deficit in new markets, in a new distribution channels where we need to build up tenure or a knowledge base in order to make sure that we can be successful in those markets. So we’ve never driven the business to meet a short-term EBITDA goal and we will not do so.
Heath Terry – Goldman Sachs: Great, thank you.
Operator: Thank you. Our next question comes from Herman Leung of Susquehanna. Your line is open.
Herman Leung – Susquehanna: Great, thanks guys. Two quick questions, first, I guess can you talk about your marketing spend efficiencies across the different channels and if anything sort of stood out in terms of the returns on the marketing spend or was that just largely macro related? And then second question I have is regarding the Booking.com piece that is from North America, obviously shows up in your international bookings line. I was wondering if you can give us a sense of how that sort of grew during the second quarter timeframe? Thanks.
Daniel Finnegan: Herman on the first question, we don’t comment on our advertising by channel but I did say in my prepared remarks that fundamental advertising efficiency was good. So you can assume that we had good ROIs during the quarter in comparison to prior year. The overall advertising efficiency when you just look at online advertising as a percentage of gross profit was largely driven however by the deceleration in the business, particularly in the back half of the quarter so you have less gross bookings coming through. You’ve got the stronger growth rates at the beginning of the quarter and the prior quarter converting into gross profit this quarter. And so anytime you got deceleration in gross bookings typically the deceleration in gross profit lags that and so you get a benefit on that line item in terms of operating leverage. In terms of Booking.com in North America, we don’t disclose that stat but we’ve said for a while now and I’ll say it again that North America is one of the faster growing markets for Booking.com to continue to add properties and performed very well in the market and we’re very pleased with the progress that they’ve made.
Herman Leung – Susquehanna: Great, thank you very much.
Operator: Thank you. Our next question comes from Kevin Kopelman of Cowen and Company. Your line is open.
Kevin Kopelman – Cowen and Company: Hi, thanks a lot. You talked about some of the challenges on mobile for Name Your Own Price. Can you give us any color on what you’re seeing in mobile growth outside of Name Your Own Price?
Jeffery Boyd: As I mentioned in response to Mark’s question, we’ve seen very good results in mobile channels for all of our businesses with Name Your Own Price being no exception, where it’s our fastest growing distribution channel here in the United States by far. And so we are very happy with the results there. We want to make sure that we have an opportunity to put products and product customers that are compelling, whether they want to bid or not, Tonight-Only is a great product that allows customers to save on disclosed hotels. This is not opaque product. It’s pricing available only for tonight. We also offer retail which in many cases is what the consumer is looking for. So our aim is to promote the most attractive products to the widest group of consumers and Express Deals should fit nicely into that. We really view mobile as more than opportunity for the group rather than a challenge. We’ve got the best hotel inventory, both published-price and discounted of any OTA in the world. And a great opportunity with good execution to present that in a way that’s compelling to mobile users. So I don’t want you to misunderstand the opportunity that we have with Express Deals by thinking that mobile is somehow a challenge. We really view it as a great opportunity.
Kevin Kopelman – Cowen and Company: Thanks.
Operator: Thank you. Our next question comes from Brian Nowak of Nomura. Your question please. Actually we go to our next question from Tracy Young of Evercore. Your line is open.
Tracy Young – Evercore Partners: Hi, two questions, I am sorry if I missed this but did you gave guidance on ADRs U.S. versus international? And also just trying to get a sense of your guidance certainly other companies didn’t talked about deceleration that their seeing for Q3. Is your guidance based on what you’ve seen in July or what you expected to see for the quarter? Thanks.
Daniel Finnegan: Tracey, we said for ADRs that international was down 1% in Q2 and we’re assuming that trend will worsen in Q3. For our U.S. hotel service we’ve set it up about 4% for Q3. And I am sorry, what was your second question?
Tracy Young – Evercore Partners: My question was in terms of the guidance.
Daniel Finnegan: All right.
Tracy Young – Evercore Partners: Yes, sorry.
Daniel Finnegan: So our guidance reflects the actual results through the end of July and through the first week of August here. And then we are assuming that there will be fairly significant deceleration in unit growth throughout the remainder of the quarter based upon our concerns particularly in the European market which is about 60% of our business.
Tracy Young – Evercore Partners: Okay, thank you.
Daniel Finnegan: You’re welcome.
Operator: Thank you. At this time, I’d like to turn the call back over to our speakers for any closing remarks.
Jeffery Boyd: Thank you all very much for participating in our call.
Operator: Ladies and gentlemen, that does conclude your program. Thank you for your participation, and have a wonderful day. You may disconnect your lines at this time.